Stephen Carter: Good morning, everyone, who’s here in person. We were having a bit of a book as to how many people would turn up in person, given it’s, A, we’ve actually announced our results before in the pre-closure, and B, it’s Friday. And so we thought we’d do our results on Friday to see if we could stimulate less working from home. So well done for everyone who’s turned up. And to those who are on the webcast, which does slightly outnumber the people in the room, I hope you can follow very clearly. Usual format, myself and Gareth, and then we’ll throw it open to questions. We’ll try and do this as a bit of a click, because some of it will be familiar. But we’ve also tried in the second half of the presentation to give it a little bit more color on how we’re thinking about the future of the business. So hopefully that will be useful and interesting for everyone. We’ve themed today’s presentation Momentum and Growth. We feel that’s a pretty fair and objectively accurate summary of where the business is. We’ve been recovering through COVID, building momentum and we step into 2024 from 2023 with a real sense of momentum in all parts of the business, and as you can see in the hard numbers, a clear path to continuing growth. The backdrop for us is no different than it is for everybody else. We’re all living in an increasingly uncertain world, whether it’s uncertainty over the cost of capital, whether it’s uncertainty about the horror of military conflicts in some parts of the world, whether it’s the fact that half the world is deciding who should be responsible for governing them in 2024. So there’s a lot of change that we’re facing into. I think one of the strengths of our business is that over the last decade, we’ve built a very strong geographical platform in the five major geographies of the world and I’ll talk a little bit about that later on in the presentation. But net, we feel that despite that geopolitical nervousness, we are well balanced and well set to be able to continue to deliver what we’ve set out to do. Our business operates in what we’ve called for many years now, the knowledge and information economy, a place where having original content, proprietary data, intellectual property and a unique value add, whether that’s in the Academic Markets business or the B2B markets business, gives you a moat of defense. Not in perpetuity, but it gives you a starting place which gives you real strength. The two sweet spots of our business are live and specialist. We have a view, which I think is being borne out, that as the world becomes progressively more digital, the only thing more valuable than digital is live. You see that most evidently probably in sports and music and --but we are definitely seeing it in our B2B business. And in the knowledge market, being a generalist is a tough spot to be. You see that in many businesses. But being a specialist, that’s a strong spot to be and we have pursued a path of specialism as a means of differentiating our various products and services. And you can see the value of specialization in each of our markets, whether it’s in live and on-demand in the B2B market, whether it’s in the emerging market for digital demand, lead generation and buyer intent that we’re stepping into through the partnership or proposed partnership with TechTarget or whether it’s in the Academic Markets area where the increasing investment in original research by countries and institutions around the world is providing primary growth in that market. And then the question is, how do we convert an unfair share of that? So we think our mission statement as a company, championing the specialist, is a very powerful place to be. It resonates across all of our markets. I think it resonates well for colleagues in the company and it speaks to our customers who rightly regard themselves as operating in very specific areas that require a high degree of market knowledge to be a partner for them. And alongside that, you need brands. You need to build a position that’s distinctive and original. There’s a difference between a name and a brand. There’s a difference between an identity and a brand. And we are trying to further enhance our brands, whether it is in the Academic Markets or the B2B business and we’ll talk about that in the second half of the presentation. To get to the numbers, 2023, we don’t say these often, I think, I can accurately say that, in what passes for a constructive and effective working relationship between myself and Richard, I’m the one who’s normally saying, don’t be so boastful. But I think we can say unequivocally that 2023 was a standout year for this company on pretty much any measure. If we had -- in January 2023, if we -- someone had said, here are the numbers for the year, would you take those? We would have questioned whether that was possible. The business came back at a pace and rate that was impressive and our ability to be able to meet that demand was equally impressive. The growth rates speak for themselves. We saw the margin tick up to pretty much where we wanted it to be and give us a platform for further margin growth going into 2024. And we saw the return of our cash flows. And importantly, we did all of that whilst maintaining both an opportunistic approach and effective approach to spot acquisitions whilst retaining a very strong balance sheet. And that allowed us to return quite a significant amount of capital to shareholders in both rising dividends and buybacks. So net, a strong performance for 2023. But as everyone on the webcast and in the room knows, that was yesterday and the real question is, what is there to come in 2024? So what are the drivers of Momentum and Growth in 2024? And this is, if you like, the building blocks of how we think you could think about where the company is and where there is an opportunity to believe the growth story. The first is in our international reach. We are having this conversation here in London. We’re listed here, we’re domiciled here. But we are a truly international business and our expansion internationally is really serving us extremely well. Our biggest market is the United States, but we have place positions in Europe, in what we call IMEA now, India, Middle Eastern Africa, in ASEAN, in Mainland China, in Hong Kong and indeed here in the United Kingdom. That is allowing us to take maximum opportunity of our increasingly large brand portfolio to be able to further expand our revenues in those geographies. The markets that we serve are by and large markets that we have chosen, and we chose them because we believe those were markets that had the long-term features of structural growth. International, high margin, extended supply chain, subject areas of interest, new subjects, growth areas for R&D investment. And so we are both geographically and by sector or subject area facing into market growth opportunities. Sitting here in March, we’ve got pretty good revenue visibility in this business. We’ve traded nearly £0.5 billion of our revenues. We can see another £1 billion in our bookings. So nearly 45% of our revenue we can already see. And our pacing numbers, which are the numbers that we track to give ourselves confidence on our forecasts, are significantly ahead of where they were for our top brands this year versus last year. And our balance sheet remains robust and we’ll come back to that when we talk about our capital allocation framework. So that combination of what we’ve traded already in 2024, of which most recently the highlight was this week in Riyadh where we saw the third edition of our new event, new brand, LEAP, which we created in partnership with our partners in the Kingdom of Saudi Arabia. I’ll give you a little bit of color on that event later in the presentation, but it really has gone from a standing start to be a leading brand in the market in a very short period of time. Subscription revenues across the portfolio, whether it’s Omdia or in Taylor & Francis or in Curinos or IGM, give us an underpinning of revenue repetition and our annual contract values are performing strongly and at the levels that we would want them to be, and our forward pacing numbers, as I say, in live and on-demand are strong. So net, we go into 2024 with Growth and Momentum. And I’m just going to pass over to Gareth to take you through the details of the outcomes in 2023 and what we’re guiding to in 2024. Gareth?
Gareth Wright: Thank you, Stephen. Good morning, everyone, and good morning to everyone in the room here for the live event, and good morning to everyone on the webinar or watching live or on-demand. I’m going to talk you through a couple of slides on the 2023 full year results and then move on into the 2024 trading that we’re seeing. And I’m also going to talk about how our effective capital management continues to deliver strong shareholder returns across 2023 and into 2024. I’ll start by outlining some of the financial headlines in the full year results. Our revenue was £3.19 billion, which the eagle-eyed amongst you will note is exactly £300 million more than we delivered in 2019 before we started any of the Informa Intelligence disposal process. We delivered another year of strong underlying revenue growth, the second consecutive year of 30% year-on-year underlying revenue growth. And reported OP increased by 72% to £854 million, which in turn drove up the earnings 86% to £0.453 per share. We delivered a strong cash flow performance in the year, free cash flow of £632 million, up 51% and that cash flow performance together with our balance sheet strength enabled us to deliver over £700 million worth of shareholder returns across a combination of our progressive dividend policy and our share buyback program. We finished the year with leverage of 1.4 times, which together with our free cash flow s increasing in 2024, gives us considerable opportunity and optionality around capital allocation going into the new year. As Stephen talked about in his piece just now, 2023 was really a standout year in terms of the trading performance of the business. And as you can see outlined on this slide, what that enabled us to do is to regularly and consistency -- consistently upgrade our view of what the full year outturn was going to be for the financial year. Driven by the strength of the live and on-demand commercial model in our B2B markets, but supported by good performance from Taylor & Francis in terms of its trading. Those upgrades as you can see were across revenue, OP and operating profit margin across the year as all three metrics increased driven by the revenue performance and our strong operating leverage in the business dropping through to the bottomline, increasing the margin by almost 5 percentage points year-on-year. And this momentum is continuing into 2024, which I’ll talk about in a bit more detail on a later slide. Focusing on the income statement, we delivered reported revenue growth of 41% and underlying revenue growth of 30%. Delivered as I said by the return of the live and on-demand B2B event commercial model in all regions and all markets. So we’re now trading fully in all markets and regions and we’re trading at strength and scale in all markets and regions through 2023 and into 2024. We delivered OP growth, reported growth of 72% and underlying growth of 59% driven by strong operating leverage in the business and disciplined cost management as we return to scale operations. The net finance cost was £19 million for the year, which is obviously a very low result for us in terms of comparison to recent years, driven by a combination of the high cash balances we started the year with and the high interest rates that we were earning on those cash balances and we’ll see a bit of an increase I think in that finance cost line in 2024. The effective tax rate was 18.7%, a bit lower than the 19% that we guided to at the half year, and in the medium-term, we’d expect -- we still expect that to tick upwards to 21% to 22% over time, driven primarily by the OECD minimum tax proposals and a little bit of an impact of the higher U.K. Corporation tax rates. The non-controlling interests increased year-on-year but the number that’s come out of it is pretty much in line with our guidance. That’s been driven by the higher profitability in areas like the Chinese JVs that we operate in B2B markets, Curinos and the Tahaluf entity in Saudi Arabia. And the weighted average shares finished the year at around £1.4 billion benefiting from the share buyback program under which we have bought back and canceled around about 180 million shares since that program started, which together with the trading results produced an 86% year-on-year growth in earnings. So turning to the divisional numbers, we’ll unpick these on a division by division basis in a bit more detail. But the headline is that if you look across all the divisions, we’ve delivered strong underlying revenue growth and OP growth across the businesses in 2023. Informa Markets has now seen a full return of live and on-demand B2B events. Really the last places to reopen in 2023 were in China and Hong Kong. China trading above 2019 levels in the year and Hong Kong pretty close to it in its first year of operating since 2019. And that trading result together with value-based pricing that we’re seeing in that business and the operating leverage producing almost 10 percentage point increase in the margin for that division year-on-year. Informa Connect is benefiting from a strong demand for content rich live experiences, and again, the operating leverage there increased the margin in that division by about 4 percentage points year-on-year. And also we’re seeing an improving mix in the quality and strength of that business which Stephen’s going to expand on a bit more in the second half of his presentation. Whilst talking about Informa Markets, Informa Connect, we should just touch on Tarsus which is now fully integrated into those divisions, around 70% of it into Informa Markets and around about 30% into Informa Connect. Tarsus delivered a very strong result in 2023 delivering around about 55% underlying revenue growth and delivering an outright revenue number ahead of our guidance at the time of completing the acquisition. Informa Tech was definitely the business that traded into the toughest end market in 2023. But despite that, we managed to deliver 6% underlying revenue growth and a 1-percentage-point increase in the operating profit margin in the year. But we’re excited about the opportunities for that business in the medium term as you’ve seen by the announcement of the TechTarget deal and our commercial rationale for that transaction. IIRIS is really a story about execution at the moment, about continued operational progress and expansion across our B2B markets businesses and about onboarding our new acquisitions and additions to the portfolio as quickly as possible. Permissioned B2B audience increased to over £20 million -- 20 million people in the year. And in terms of what we’re seeing in the business, we’re definitely seeing an improvement in the operational effectiveness of our marketing to our existing customers through IIRIS and we’re also seeing a beginning of enhancements to the B2B customer experience in areas like Lead Insights that again, Stephen, will expand on a bit more in the second half of his speech. Taylor & Francis in 2023, delivered revenue growth of 3% underpinned by a robust performance in the pay-to-read business and also by further expansion in volumes in open research. The operating profit margin of that business was consistent year-on-year at 35% and we’re excited about further opportunities for acceleration in the growth in that business in 2024. So overall at a Group level, this added up to a 30% underlying revenue growth, almost 60% underlying operating profit growth, all of which we think demonstrates the value of our products to our customers in an increasingly digital world. So this is a bridge from our underlying growth to our reported growth in 2023, showing why in both revenue and OP terms, the reported growth was higher than the underlying growth. And before we start kind of walking across that bridge, I think it’s worth just focusing on the left-hand column there and the underlying growth for the business. So the reported growth really isn’t a factor of things like acquisitions in the year, it really is driven by the underlying performance, 30% revenue growth and 60% profit growth in the business year-on-year. The phasing adjustment is entirely due to biennials. Although 2023 is a biennial up year, so you’d normally expect the bridging item here to be positive, the drag effect of COVID on the 2021 comparative for those biennials means that in actual fact, the bridging item from underlying to reported is a negative number. The portfolio expansion is the additions that we’ve made to the portfolio in the year, which is really 75% Tarsus and Winsight supported by some other smaller additions. And finally, the currency movement is minimal as the main currency that we trade in the U.S. dollar was very stable across 2023 at around about 1.25 exchange rate. The outcome of that is very strong reported growth, 41% growth in revenue and 72% in growth in OP margins. The next slide outlines how the margin has increased from 22% to 27% across the full year. The largest block as you can see there is performance and this is basically the operating leverage from our 30% underlying revenue growth. We’ve continued to have tight cost management around the business, but we also continue to balance that up with the opportunity for investment in line with the areas we’ve talked about in terms of our GAP 2 strategy to fuel and accelerate future revenue growth in the business. The phasing in biennials arises from 2023 being an up year in terms of the biennial business and those up year biennials are a bit more profitable. Portfolio expansion benefits from the acquisition of higher OP businesses like Tarsus and Winsight. As I said just now, the currency effect is minimal because the dollar has been pretty much unchanged across the year. A continuing OP margin is something that we will be targeting in 2024. But as we say consistently, we value repeatable sustainable underlying revenue growth just as highly as we value increases in the margin. So whilst targeting an increase in the margin, we will also be looking to make continued targeted investments in our business to accelerate future growth. Looking at the balance sheet, our first maturity is in October 2025, which is our €700 million tranche EMTN, and after that, the next maturities are in February 2026 for the RCF and then the summer of 2026 for the next EMTN tranche. We have no Group level financial covenants. So the constraining factor really on our finances is our liquidity and we finished 2023 with £1.5 billion of liquidity. Our debt is secured on fixed interest rates about 3.2%. That means in 2023, we benefited from having fixed interest rate borrowings in an environment that saw higher interest rates in the market, whilst we benefited in our interest receivable line from having floating interest rate deposits on the higher cash balances that we were running, benefiting our interest income receivable. Our year-end pension surplus is over £40 million, which is pretty small really in the overall scale of our business. So, in summary, we finished 2023 with leverage at 1.4 times. We have £1.5 billion worth of liquidity and we have strong and growing free cash flow generation heading into 2024. All of which provides opportunity and optionality around our capital allocation. So that was the story behind the strong trading performance in 2023 and the optionality we have in the year-end balance sheet. We’re now going to focus on the momentum of trading into 2024 and what we intend to do around capital allocation going forward. So to start the slide, one thing you going to do is start by looking at the platform we’ve built as a business and that is a platform that is highly cash generative. In terms of our ability to turn operating profits into cash through our operating cash conversion, we generate scale amounts of operating cash flow and that’s dropping through into the free cash flow line with our guidance of £720 million plus for 2024. And that cash flow strength is what gives us the optionality and opportunity around our capital allocation. The first capital allocation opportunity is the organic investment into our business through CapEx to drive organic growth. And we have a continued focus on appropriate and targeted CapEx investment to drive growth and that investment is somewhere around about 3% per annum of revenue to 4% per annum of revenue. We have a progressive approach to dividends which will see us grow our dividends over time as our earnings grow in the business. And we will then make inorganic investment in the businesses through targeted portfolio additions, exercising our M&A discipline that we think we’ve shown over recent years and leveraging our management experience over a number of years of delivering acquisitions and value creation in this space. And the areas we’ll be targeting are all consistent with our GAP 2 strategy that we’ve outlined to you previously. Share buybacks are a core part of the capital allocation policy, but will flex with the outcome of the inorganic investment decisions that we make. We’re continuing share buybacks into 2024. We’ve done about £90 million year-to-date up until the announcement and we’re announcing a further £250 million of share buybacks in today’s announcement taking you to a total base commitment for 2024 of £340 million as we stand. Target leverage is in the range 1.5 times to 2.5 times, which gives you a sense of the triangulation of the capacity available for us in terms of inorganic investment and share buybacks in 2024. And we think that target leverage is consistent with maintaining our investment grade credit rating, which is something that we have targeted over time. You also need to remember when looking at that capital allocation approach there, the future sources of acceleration that exist from our portfolio of retained investments are outlined there on the right-hand side of the slide. These investments allow the opportunity of future value creation crystallization in the business and therefore future cash generation and incremental capital allocation opportunities for us going forward outside of the free cash flow that we’re guiding to and that the business can generate. So that’s our approach to capital allocation and we’re confident that will deliver increasing shareholder returns over 2024 and beyond. And finally just coming back to the guidance, as you’ve seen in the announcement, we’re increasing the guidance ahead of what we said in our 10th of January trading update by £25 million worth of revenue and £5 million of OP and that really is driven by the trading we’ve seen year to date in Q1 and our outlook and visibility forward into the first half of the year. As well as the increase in the guidance is worth just reflecting on what the guidance says in outright terms. In revenue growth, we’re guiding to high single-digit. In OP growth, we’re guiding to double-digit growth. In free cash flow, we’re guiding to £720 million worth of cash flow, which depending on what assumptions you make about the share price is a free cash flow yield north of 6% for 2024. As I look back across the earning season, there are not many groups you’re seeing guiding to guidance numbers for 2024 of that strength and of that sort of that size. And to confirm back to the previous slide, any inorganic growth opportunities from our capital allocation are on top of that guidance. So as I wrap up and hand back to Stephen, just to recap there, strong trading performance to stand out performance in 2023 from the business, but importantly with the momentum continuing into 2024, and alongside the effective capital management, we think that is really delivering the opportunity to maximize shareholder returns heading into 2024. Stephen?
Stephen Carter: Thank you very much. Right, just before we head into questions, I thought what we’d do in this section is maybe just put a little bit more color around the business and the way in which we’re thinking about it and how we’re growing and developing it. The first is just to talk a bit about the power of live. I suspect none of this will be new to people, but it gives you a flavor of the conversations that we find ourselves having with many of our partners around the world, whether that be cities or governments or venue operators or city-state or state-based governments or indeed trade association and other commercial partners. MICE is the term of jargon for that industry, meetings, incentives, conferences and expos. And in many parts of the world, MICE is a strategic vertical for the country and we’re seeing that particularly in our EMEA business and our ASEAN business and in our Chinese business and in some parts of North America where locations are making strategic investment decisions on airport capacity, convention capacity, infrastructure capacity, hotel builds at all tiers. And therefore, if you can have a counterparty conversation where you have a brand portfolio and an ability to bring the sort of community that they’re interested in bringing to that location, that creates a really very mutually beneficial discussion, because whilst it’s attractive for us, and Gareth’s talked about what that produces for us in numbers in 2023 and what we believe it might produce in 2024, actually for the counterparty, they’re interested in what they would call the multiplier effect. And in the market, the view generally is that the multiplier effect can be anywhere from 7 times to 10 times. So whatever we may look to achieve commercially, the knock-on effect, the multiplier effect in the location is significant. And as I said in my opening comment, one of the maybe slightly perverse consequences of both digitalization and indeed post-COVID return is that the value of live has gone up, participation levels has gone up, if you’re operating in the area of the market where there is distinctiveness and brand value. So then if you take that kind of sector view of the value of live, what have we built and bought over the last 10 years, 15 years to give us a market position to be able to have counterparty conversations that allow us to develop at the sort of growth rates that we’re talking about. Here we’ve taken our brands and we’ve used some rough metrics to divide them into more manageable chunks, marquee brands, power brands, market brands, national brands, that really these are just businesses and brands operating in certain locations or certain sectors, which gives you a real sense of the depth of the portfolio. In marquee brands, we’ve used £30 million plus as a threshold because many of them exist above it and I know a number of you will say, well, that’s really interesting. So can you tell me exactly what’s the revenue number for super return? Just before you ask the question, the answer is no. But what we’re giving you here is an indication of the scale of these franchises. The growth rates of these franchises are also very attractive. Now we are a buyer in the market for these brands and these products. We have a very developed understanding of the value of these assets, both to us and indeed what their long-term annuity value is in the way in which you can own them. And more importantly, we have a much more developed understanding of how you can expand services and attractive benefits for the customers and the users of those brands so you can expand the revenue and indeed the margin profile. Similarly, to expand my earlier points geographically, this is the geographic spread of the company. Now, for those of you who’ve been around the Informa company for a long time, you will remember when, if we’d presented that chart, we would have had one pillar and it would have been in the Middle East. So we’ve built a platform. So when we talk about a platform, we talk about a market position, the company really is at a different stage of development and market opportunity, whether it’s in the Americas, which is our biggest market and is in fact 55% of the global trade share business. So it’s no surprise that that’s our biggest market. It’s also the highest margin market because they have a very developed set of infrastructure and therefore the key input price in that business, which is real estate, is generally lower square meter for square meter in the U.S. than it is anywhere else in the world. ASEAN, which is a significant trading block and expanding in multiple countries, and the trading relationships between themselves and becoming an increasingly important manufacturing center, which is particularly critical to the trade share community. We are the market leader. We are in every one of the major economies and in all four or five of the major countries in the ASEAN block, Thailand, Vietnam, Indonesia in particular, you’re seeing significant investment in new convention capacity, airport capacity, hoteling and access capability. Europe, you probably know about as well as I do. We’re actually less represented in Europe, largely because Germany in particular is in effect a home market. It is largely not dominated, but certainly the significant players in the German market are the German measures. And so in the main, we have slightly removed ourselves from the market beyond taking the occasional brand into it for location purposes. But nevertheless, we have some strong positions in a couple of areas and we’ve developed an increasingly attractive joint venture relationship through our partnership with BolognaFiere to expand our position in the European market that way. China, Mainland China and Hong Kong. Hong Kong is probably the last geographical area in the world where we will see post-COVID return in 2024, because in 2023, the international travel patterns hadn’t really fully rectified and reset in 2023. And then you get to IMEA, which is a new construct for us in the last 12 months. Previously, we used to have India as part of Asia-Pacific, and the Middle East and Africa was combined with Europe. We split that out to create a new geography IMEA because those locations for us have a series of very similar features. Most notably, they’re all very high growth markets and we’re the market leader in every single one of them. In Turkey, in Egypt, in India, in Saudi Arabia and in the United Arab Emirates. All of them similarly investing in capacity and venues and airports and access and infrastructure. And in some cases, liberalizing their economies as a result of social change and policy change in order to significantly accelerate international foreign direct investment, which of course is catnip to our product portfolio and our brand portfolio, and we are really doubling down both our time and our presence and our participation in those markets and we call that out in today’s announcement. So I thought I’d double down even further and just give you a couple of examples. Here are a couple of brands that really do stand out. And I’ve chosen these two or we’ve chosen these two because they are the yin to each other’s yang. If you’ve been around the live and on-demand business for a long time, Arab Health is what I would call trade show royalty. It’s been around for nearly 50 years. If you imagine that, it’s easy to say. 50 years ago, coming up with the idea to create a global healthcare manufacturing meeting and convention point in Dubai. It might be obvious now, but 50 years ago, that was a lot less obvious. It’s grown from that entrepreneurial idea into the leading healthcare show in the world. And in fact, we have developed out of that a sub-brand called Medlab, which specializes in medical laboratory technology deployed in hospitals and healthcare institutions around the world, because of course, technology is a horizontal and in the healthcare community, it’s the biggest feature of capital expenditure for many healthcare providers and operators. The combination of Arab Health and Medlab is for us a north of $90 million franchise growing at significantly high double digits. It’s rich in content, it’s rich in professional accreditation, it’s rich in customer data, it’s growing in capacity, and indeed in the location in which it operates in Dubai, they are expanding and not next year, but the year after, the venue capacity grows again in 2025 -- in 2026 onwards as a result of World Expo, which brought new capacity into that market. And for any of you who’ve been to Dubai, you will know that they’ve also invested significantly in any tiered level of hoteling accommodation. So it is a place where you can bring 100,000 people and all the necessary contractors you need to be able to scale and stage a large scale event. By contrast, in technology innovation, this is the brand that I referred to earlier. LEAP was our entry brand into the Saudi Arabian market in our joint venture, Tahaluf and they had identified future technology innovation and AI as an area where they wanted to be a standout, distinctive point of difference versus the rest of the market, and we invented this notion of LEAP. For future technologies, new technologies, innovative technologies, whether it be from business to big tech, mid tech, small tech, investors, entrepreneurs, startups. LEAP’S in its third year. And look at some of these data points. 1,800 exhibitors, over 50% of which are international, 170,000 plus attendees, over £4.9 trillion of money under management for investors attending. We had over 650 startups in the startup event that was running simultaneous with a large scale trade show. Much like Arab Health and Medlab, it’s actually a double act. The mothership is LEAP and the innovative technology accompaniment is DeepFest, a standalone event focused on AI. Possibly, I think, by next year, might be the largest AI event in the world. So you’ve got a 50-year-old mega brand, marquee brand, which is innovating and still growing at double digits. You’ve got a brand new brand in a new market that’s equally growing at double digits, both of which are being driven by market demand and incremental capacity. Those are the ingredients of how you continue to drive growth and expansion across the business and it’s only two brands out of a portfolio at the marquee level of 20 plus, and a national brand or a power brand or a market brand where you can do the maths and you can do the valuation maths of what those might individually be worth and then you could read that across to our valuation and you can all make those judgments quicker than I can. Underpinning those, what do you also need to do? These days, you also need to be underpinned by data. Like in all businesses, particularly in the knowledge and information market, being a generalist doesn’t work. If you want to be a specialist to a specialist, you need to know the what, the who, the why and the how of what they’re interested in, what they’re doing, where they’re doing it, where they’re repeating, where they’re spending dwell time, where’s their buyer intent, what’s their subject matter of interest, what do they want more of and in real time. That’s what led us to our investment in IIRIS. That’s what led us to start generating products like Lead Insight that enabled us to provide some real time access to our customers and our users so that the event wasn’t just the kind of random I got back with 60 new business cards in my pocket. I’m actually getting validated data that allows me to create real return for the investment of my time and my money. Much talk about AI in every business around the world, and quite rightly, I spent two days this week hanging out with the AI community in Riyadh. The pace of innovation, a new product, what’s happening with language processing unit, capacity, speed, it’s really, it’s startling. For our business, AI is already significantly embedded in what we do, whether it’s at a very simple and practical matter doing live speech translation or authentication or plagiarism tests or manuscript discovery in Taylor & Francis or whether we’re using it to do profiling analysis or in degenerative AI in our many digital media brands. But there is much more that we can do, and for our business, it’s actually beneficial both on cost and also on speed and accuracy. And all three of those things speak to our ability to stay relevant to our customers. In our annual report this year when it gets published, what we’ve done is we’ve done a little graphic which brings to life, here’s how we’re using AI at a practical level. So rather than talking about it just sort of conceptually, what does it mean, is it a major change, we’ve just broken it down into really very simple case point examples of how can you make this transaction or human activity more efficient, more effective, more accurate and faster. Similarly, I’ll show you the same in our Academic Publishing business in a second. And then alongside that, so you build a geographic franchise everywhere in the world, you become the market leader, you develop your marquee brands, you bring new brands to market, you work with partners to grow capacity and volume, you use data to make your business more relevant, you do it with new products and services that they can buy which allows you to price and create more revenue growth, and then you underpin that by the deployment of practical AI and digital enablement. But in addition to that, as we built that franchise, we identified that there was another market that was emerging. Cookies were disappearing, buyer intent was becoming much more a part of the B2B transaction service and we saw these various players emerging, offering multiplicity of different services. So we created Informa Tech and we went looking, and that’s what led us to the announcement we made in January about the combination, proposed combination between the digital assets inside Informa Tech and TechTarget to create new TechTarget. There’s no particular new news today other than there’s a lot of work going on, believe you me. We’ve appointed a combination director who’s working with the management team, we’re doing all the work necessary on the historical financial information filings that are needed for the U.S. clearance, the shareholder vote prep is underway, you will see the proxy statements and the business plan in that when it comes out. At the moment, if you want a timing structure for the model about how it’s working, we’re working on the assumption that the new company will go live on the 1st of October. So in effect, we will trade Informa Tech as it is for the first three quarters of 2024, and then in the back half -- the back quarter of the year, I beg your pardon, the back quarter of the year, we will then have the new company, which is new TechTarget, which we will be the 57% majority shareholder in and then 2025 will be the first trading year of that business. What are we seeking to do? We’re seeking to do exactly the same as we’ve done in live and on-demand, which is to build a market leader in digital demand services for the B2B community. We believe we have the product suite from market intelligence all the way through to buyer intent discovery services. We believe we have a unique digital media real estate platform and content position and we have a market leading position in proprietary data, absolutely coincident with the demise of cookies. We have a high degree of confidence that we can create something really quite distinctive, and over the next three years to five years, we’ll lay out clearly what the commercial ambitions are in that market. As a consequence of that, but also as a consequence of their own success, and I can say this because Andy Mullins, who’s been the leader of that success, is hiding in the cheap seats at the back. Informa Connect has moved from being a business that many years ago was a seen as the last redoubt of the old IIR conference businesses for those who’ve been around the company for a long time and actually has morphed into a business clearly focused on six markets of which the latest category is technology, managing and operating brands and franchises, offering higher content rich experiences with a high degree of professional accreditation services embedded in the offering. A much more diverse range of revenue sources than the trade show business today, delegate revenue, exhibitor revenue, sponsor revenue and then professional services and other revenue. A technology stack that actually is quite unified across those different sectors, so we’ve developed a digitally enabled set of platform services for Informa Connect and a deep level of market specialism, whether it’s in biotech and life sciences, food service, finance, cybersecurity, anti-aging, and aesthetics and entertainment. And again, we’ve chosen these markets for very particular reasons because we believe they have the long-term features of structural growth, particularly the anti-aging and aesthetics market, if you’ll meet. So that’s where we are in the B2B market. We feel confident about the market position we’ve built and bought, we feel ambitious about what we can do in digital services and we have a real depth of understanding of the power of our brand portfolio, and we are still energized and excited about the fact that as you move around the geographies of the world, actually, industrially, the sector where we have chosen to build and operate is seen as a major driver of economic activity in geographies around the world. And when you find a counterparty that sees your product as a market enabler, that is a road to opportunity and we’re taking maximum advantage of that. In academic services, this is a business which sometimes is quite difficult to penetrate, because one could be forgiven for thinking that it’s a sort of rather dry subject matter of sort of academic interest. Actually, underneath the cover, this is a business that has similarly metamorphosed over a decade from being really a product and format business in physical books and physical journals into a very diversified range of service activity for a much broader community of users. Yes, educational institutions, but yes, also funders, yes, also governments, also transnational R&D bodies and also individuals, either self-funding or raising the funding from some of those prior bodies to self-fund, and as a consequence, it’s demanded that we develop a range of different services to enable us to stay relevant and also to follow the money, because in some cases, the money has moved from being solely divert channeled through libraries into a series of other markets. This, we don’t see this ever being a high single-digit growth market. It’s not going to be, there isn’t -- there aren’t the macro features that there are in the B2B markets business, but we have long believed we can get this to a 4%, 4% plus grower, so what do you have to believe that we need to do to this business to enable to achieve that? Well, this is a kind of step point bridge chart that gives you a sense of what are the building blocks of the growth that we’re building into this business. The first is where you start in a business like this, which is make sure your subscription engine is working at the pace and rate that you want because that gives you forward visibility and stability in your customer relationships. In the United States in particular, we’ve long held the view, and for colleagues on this webcast or in the room are from Taylor & Francis, you will have heard me say this many times, we’re under indexing in the U.S. market for reasons of history, it doesn’t really matter why, so we’re investing in just go-to-market capability in the U.S. We believe there’s more share we can take from our market position, our backlist and our archive, and our intellectual property in the U.S., and the U.S. is the biggest market in this area, much as it is in B2B markets. We’ve played that movie in B2B markets very effectively, we have some confidence we can do the same thing in this market. Read & Publish, this is the world we’re now living in, we resisted it for a while, we then started to learn how to do it, we then acquired some business, we’ve now built some industrial capability, we’ve become much more contractually and commercially adept about how do you sit across the table from your customer and provide them with a set of commercial and contractual freedoms that enable them to read and publish in the way in which they want and make yourself much more accessible to the author. The volumes in open are growing significantly and so you have to have a handling capacity to be able to handle that volume, it’s very different from pay-to-read, and we’re doing that in real time, that speaks to workflow, take you back to AI, it speaks to AI on screening and submission speed, and it also speaks to the way in which you price and how you engage with the originating author. There is also, at the other end, an expansion in premium titles, and that speaks to quality impact factor, verification, and to a degree, marketing. E-books are growing at speed and there’s an opportunity there to increase our e-book penetration, we’re a big reference advanced learning publisher, we publish 8,000, 9,000 new titles a year, we have a significant backlist in 10 subject areas which we could talk about, we are the market leader in those areas. So there’s much we can do in e, and in e-access, and then e-access and audio accompaniment to allow us to expand our market position and that’s before you get to AI’s ability to enable you to bring new products. If only running a business was as simple as PowerPoint, we’d have this done already, but what I’m trying to do is give you a sense of what the art of the possible is, and similarly, what does AI enable us to do? This is the part of the business where AI is probably most deployed already, it’s inherent in the model, if you just think about the volume of submissions and articles and innovative commerce books that we produce in a year, that can’t be done by human labor, and it isn’t, and therefore, this is an area where AI becomes an absolute enabler of our ambitions. Put that all in the blender, what does it produce? It produces a business called Informa, operating in the knowledge and information economy, with a market-leading position in B2B events, transaction events, content-rich events, building a partnership leadership position in B2B digital services, and in that case, that business, housed in America, listed in America, domiciled in America, managed in America, because that’s where 80%, 85%, 90% of the revenue and profit pool is for those products and services today. A leadership position in Academic Markets with more to come, both in diversification of services and in AI enablement of service offering. And as Gareth alluded to, on the side, a range of place position investments, some of them for reasons of history, some of them for reasons of innovative investment, such as in Curinos and some of them for reasons of enablement. BolognaFiere, to my earlier comments on Europe, Bridge Events, to my earlier comments on Andy and Informa Connect’s platform capabilities inside Informa Connect. It’s a platform position in three markets and that is the foundation for where we see growth coming. And that’s really where I started. I’ve tried to bring to life the international expansion opportunities. It’s where I spend most of my life these days, and when you go to those markets, you really do see those opportunities right in front of your nose. We’ve chosen well, I would say. Now, I’m selling my own book here, but I think we have. Some of that was learned discovery, some of that was judgment and a fair smattering of it was luck. But nevertheless, we’ve ended up serving very, very robust high growth markets with a significant degree of customer interest. Academic remains a central part of our Group, and despite the multiple questions we’ve had over the years, it has served the company, shareholders, colleagues, and most importantly, our customers extremely well. We’ve changed that business from what it was to what it is and we will change it again to what it will be, and that will continue to serve the group well. Revenue visibility is always a big plus. That and the cash generation and the balance sheet strength is allowing us to speak to growth and momentum in 2024. So that’s where we are as a company. Thank you very much for listening and we will throw it open to questions. And we’ll start in the room and then come to the webcast, just to give those in the webcast some time. So I’ll take maybe two or three questions in the room and then go to the webcast. So why don’t we start on my left, if we may. If people could, whilst we know who most people are, if they could name and identify themselves and no more than three questions at a time.
Q - Fiona Orford-Williams: Understood. It’s Fiona Orford-Williams from Edison. Firstly, I mean, you’re talking about very strong growth fundamentals. Do you want to just run through how you view the limitations and pinch points, particularly across Connect and Markets and Tech? So that’s actually a sort of multiple question. My other question was just on the investment portfolio. Would you, as things stand, see the portfolio looking the same at the end of this year?
Stephen Carter: Great questions. I think I’ll, look, I’ll take both of those. On the investment portfolio, in the main, yes. I mean, in the case of Norstella, we are -- we kept a position in that business at the point of the transaction, partly because the buyer wanted it and -- because that spoke to stability and management and kind of domain expertise, and partly, in truth, because what that business became in short order after we had sold it was pretty much what we would have done with that business had we owned it and we were allocating that sort of capital. So we could see the value and so we were happy to ride that. I don’t think there’s been any change in the underlying value. If anything, those businesses have become potentially more valuable. So I think we feel good about where it is. Our colleague, Alex Roth, sits on the Board of that joint venture. I think we are a happy traveler at the moment, is how I would describe us. I think that’s where we are. Curinos is a different thing, because we are the majority owner of Curinos. That, in a sense, was we found a partner, we knew what we wanted to do, and we found a partner both to enable us to run it separately, and also, we didn’t want to use our capital at that time for the acquisition we did. We think Curinos is turning into a really first-class and distinctive business in its field, and similarly, I think, we’re a focused traveler. The rest, I think, are different. They’re placed positions for reasons of history. I like your question on pain and pinch points, because that’s kind of an operational question, and yeah, sure, of course there are some, inside the machine, it isn’t all as seamless as it is at these beautifully orchestrated Sunkist results presentations. But nevertheless, we, I think, have got increasing confidence on the foundation pillars, and on the core aspects of the business, we really know how to do what we do. I think we’ve become, and here I’m slightly boasting, Fiona, so I hope you forgive me. I think we’ve become a skilled partner, which sounds like an odd statement, but I think we’ve become a very skilled partner. And you see that in our business model. In beauty, we’re deep in partnership with BolognaFiere, who are the owners of the Cosmoprof brand. That’s allowed us to build a global franchise in a market we weren’t in five years ago. Saudi Arabia, our partners in Saudi Arabia, we weren’t in that market five years ago. Now, we really are the primary player. I could give you another 10 examples. That’s before you get to our partnerships with trade associations. And in our academic business, the innate nature of that business is you have to be a skilled partner with your authors, with your researchers, with your institutions, so it’s a core, I think, it’s a core operating cultural and operational skill of the business. Some of our technology platforms have got some scaling issues on your pain and pinch point, and we’re trying to iron those out. That’s, again, to go back to your first question, that’s part of what lies behind the partnership with Totem. We have got some critical counterparty relationships, some with the big enterprise vendors, the hyperscalers, Amazon, who are our cloud partner. But there’s nothing, I think, that’s flashing red on the dashboard, but are there some things that are amber? Are they all green? No. But we are an ambitious company for growth, so I think if you took a straw poll of the Informa colleagues in the room, let alone those on the webcast, they’d say, it feels like we’re running, not strolling, but that’s what you would want, I think, as a shareholder. Questions here?
Carl Murdock-Smith: Thank you very much. Carl Murdock-Smith from Berenberg. Three questions, please. Firstly, on slide 20, when you’ve talked about the dividend, you’ve talked about it being progressive. You’ve not mentioned the 40% peg to EPS. I was just wondering, is that overt? Are you loosening that connection going forwards? Secondly, in terms of the buyback language, you talked about the potential to increase buybacks if attractive inorganic investment opportunities do not materialize. I was just wondering, are you able to hint at when you would have made that decision to communicate to us? So would it be at the H1 stage or later? And then, thirdly, this is more for Gareth, you talked about your expectations for effective tax rates. I was wondering if you could comment on interest costs and also minority interest cost expectations for the year, which obviously, one of those stepped down this year and one of those stepped up. So any comments on 2024 would be great and sorry that those were all financial and not operational?
Stephen Carter: No apologies. They’re very important questions. I’ll hand them over to Gareth to answer all because they’re jolly tricky. And I, for one, will be very interested in what the definition of progressive is. Perhaps Gareth and Richard could comment on that. On the buyback question, I will throw in by the end of the year, I think, we’ll know it’s the answer to your question. But anyway, Gareth.
Gareth Wright: Yeah. So, yeah, I think, yeah, exactly. As you go through the year, I mean, depending on what rate you spend the £250 million we’ve announced today at, it’s likely that would be around about six months’ worth of share buyback. So, yeah, certainly by the autumn, we would know, whether we’ve found inorganic opportunities to supplement that or whether we might be increasing the share buybacks. And in terms of the interest in NCI, so interest, as I said, was particularly low in 2023, because of the cash balances and the higher interest rates we were receiving our income at. Both of those have gone the other way over the course of the year in 2024. So you’d be expecting interest somewhere in the region of sort of £50 million to £60 million, maybe the lower end of that in 2024, depending on what we do on inorganic acquisitions, et cetera. But definitely that will be an increase year-on-year versus where it was in 2023. NCI will continue to tick up because as I said, it’s driven by trading performance in areas like China, Curinos, Tahaluf, they’re all growing and growing quite quickly. So in actual fact, we expect the NCI to tick up probably close to sort of £60 million or with a six on the front of it in 2024. So that will increase again year-on-year.
Stephen Carter: Happy with that, Karl?
Carl Murdock-Smith: Okay.
Stephen Carter: Yeah. Okay. One more question, then we’ll go to the webcast. Cameron [ph], you choose, because if I choose, I’ll offend someone.
James Tait: Thank you. It’s James Tait from Goldman Sachs. I’ve got two questions, please. I think, firstly, you’ve reiterated your high single-digit growth guidance for 2024 for the Group, but could you provide some color by division? And I guess particularly for markets where you actually helpfully gave some color on the performance of some of your large marquee brands for 2024 with LEAP revenues up 30%, Arab Health 20% plus. Does this suggest Informa Markets should be growing at least double digits organically? And secondly, looking at your target leverage of 1.5 times to 2.5 times, it’s quite a wide range. Is the aim to be at the midpoint and then use the excess cash for ongoing buybacks? Thank you.
Stephen Carter: Do you want to comment and then I’ll come in after you?
Gareth Wright: Yeah. In terms of the second one, yeah, it’s a wide range, but I think we want to give ourselves a bit of flexibility. As I said, the top end of the range is consistent with maintaining the investment grade credit rating, which is kind of 1 peg point, if you like, for where we want to be. 1.5 times is the other end of the range. I think that’s pretty low. I mean, I know we’re at 1.4 at the moment, but there’s a lot of inorganic opportunities out there, and therefore, I think we’ll be in the range, midpoint of the range thereabouts going through 2024. So I think it’s an appropriate range to talk about and it helps you triangulate when we talk about capital allocation, what do we mean in terms of the size of the opportunities, particularly in the share buyback and inorganic investment areas. On the underlying revenue growth by division, you’re right, we’re guiding to high single-digit underlying growth for the business. And if you look at the guidance, that’s where the midpoint of the guidance sort of takes you in terms of the numbers, you’d expect Markets perhaps to be slightly above the average there. As you say, it’s got some strong trading brands like Arup Health in it. Tech and Connect, though, I think will show good growth. I think Connect particularly is well placed for 2024. Tech, the end market was a bit tough in 2023 and we’re not guiding to an immediate bounce back of that market in 2024. We’re going to see how it evolves, as I said in my speech. Medium-term wise, we think there’s a lot of opportunity there, but we’re not expecting a bounce back immediately. And then Taylor & Francis, as Stephen just outlined on the bridge, we’re looking to aim for 4% growth in 2024 from that business. So that kind of gives you a sense in the mix of how you get to the component parts by division.
Stephen Carter: And just a small point, James, just to your question, LEAP is a technology event, and so for now, we’re going to have to make some changes post the creation of new TechTarget. Those numbers would sit inside the Tech business, not inside Informa Markets. If you’re trying to reverse engineer a division by division performance, just I’m sure you know that. Should we take a question from the webcast and then come back to the room?
Richard Menzies-Gow: I think I’ve got them.
Stephen Carter: Yeah.
Richard Menzies-Gow: They come in online, so I can choose the most difficult ones.
Stephen Carter: Thank you, Richard.
Richard Menzies-Gow: Just a couple. The first one is from Sami Kassab. Had to be a margin question. Specifically, on Informa Markets, do you expect Informa Markets margins to gradually get back to the mid-30%s reported in 2019 and over what sort of time horizon? And then the other question that’s coming online is from Adam Berlin at UBS, who’s asking about pricing in the mix in terms of the growth in live events, what sort of mix is coming from pricing versus volume?
Stephen Carter: Okay. I mean, I’ll take Adam’s question and I’ll leave if Sami will forgive me. I’ll leave Gareth to answer the margin question in Informa Markets. I mean, pricing is definitely in the mix. I mean, as we’ve said before, we took, I think, a sensible approach, possibly even a cautious approach to pricing through COVID and through the post-return from COVID. Easy to forget now in March 2024, but in March 2021 and 2022 and even 2023, it wasn’t so evident that the world would return physically in the same way that it has. So we deliberately took a cautious approach to pricing. The advantage of that is that effectively in 2024, for the majority of our businesses, we entered 2024 really at a 2019 price point and that I think has allowed us to bring some reset of our prices. In terms of percentages, if Adam’s question is, how much of the growth is price and how much of the growth is growth? I’d say it’s probably third, third, third. Maybe a third is price, a third is growth and a third is newness in various different ways, new products, new services, various from brand-to-brand. The other thing, obviously, to remember about the, particularly the trade show business, but also to agree the more content-rich events, you are -- once you’re set for the following year, you’re set. So you got -- it’s very difficult to intervene and do a price reset once you’re in flow for the following year. So you tend to set your prices in the main, at the end of the event that’s running, and if you can, you’ll maximize your rebooking for the following year. So you have to be quite ahead of the pricing curve. What does that mean? I think it means it gives us some forward pricing headroom from 2024 into 2025 as well. So I don’t think we’ve used up our opportunities there. On margins, Gareth, anything you want to add?
Gareth Wright: On the margin question, yes, we would see the Informa Markets margin continue to tick up over time. As you said, a good increase in 2023, 10-percentage-point increase in the margin in year and we’d look to see it continue to increase. We are, however, investing in that business, we’re investing particularly in the customer experience and making sure that the systems and processes are there to back up and improve customer experience over time. We’ve made some progress in that through COVID around things like registration systems and digitally enabled registration. But I think there’s more we can do there to improve the customer experience over time and therefore drive future volumes in that business. I’d also say that the Saudi Arabian startup opportunity through Tahaluf is a fantastic opportunity for future growth, but in the initial years, that will be a bit lower margin overall, both because of the investment we’re putting into the shows to grow them and start them up, and also just because a bit of the infrastructure is still being put in place around the exhibition facilities, et cetera, in Saudi Arabia. So you’ve got more things like temporary tents and temporary accommodation, et cetera. So a bit lower margin in the initial stages, still a great opportunity though and a real value creator and we think those margin headwinds at the moment will again correct over the medium-term. So going forward to the nub of the question, yeah, we see no particular reason why markets can’t be back at the level of margins it was at in 2019 pre-COVID.
Stephen Carter: Another quick fire one, Richard, before we go to the room.
Richard Menzies-Gow: No. They’re pretty much done on.
Stephen Carter: Okay. Great. Over here, Cameron, it’s you.
Nick Dempsey: Yeah. It’s Nick Dempsey from Barclays. I’ve got two left. So first of all, we heard from Relics a couple of weeks ago, whenever it was, they think exhibitions can achieve growth beyond 2024. That is sustainably higher than pre-pandemic. I think at your half year results last year, you talked about 5% plus as your midterm kind of ambition for Markets. So is there any reason why you guys would be lower than them or do you think that there’s quite a lot of opportunity in the plus for Markets midterm? And then, yeah, in terms of the new gearing target of 1.5 times to 2.5 times, I know we had a question on that before, but in terms of your M&A pipeline, you’re looking at the moment, are you more weighted to events or do you have things lined up in the data tech space that you might spend some of the headroom on?
Stephen Carter: Thanks, Nick. Good questions. I think that you’ve given us a new variation on guidance. We can have different size pluses or minuses. I like that, actually. I think you’re right. I think it is a big plus. But for now, let’s just keep it at 5% plus. I think the underlying, I mean, as we’ve tried to lay out today, and even for you, hopefully, there’s some new, what’s the word, texture in what we have been talking about today in that business. We think the underlying fundamentals of that business are really very strong. It’s incumbent upon major operators, and you speak to one and we are one, that you renovate that product, you innovate that product, you add value to that product. It does become more data rich. You are much more connected to your customers. Customer experiences, Gareth just spoke to, has to improve and can improve. And indeed, that’s helped a bit by some of the infrastructure investments that’s been made in locations, because they’re building locations which have got much more embedded technology, which are very relevant to the exhibitors. So you put all that together. Yes, I think the fundamentals of that business are very strong and our job as a brand owner and a brand operator is to make sure that we really lean into that and surprise and delight our customers. Do that, I think, yeah, that’s maybe a bigger plus than it was when we were thinking about it in 2021 and 2022. On the M&A pipeline, yes, I would say, quite distributed is the answer in terms of opportunities. There are opportunities in live and on-demand, both transaction events and also some more content rich events. But there are equally opportunities in the digital services market, the Academic Market, and in some of the data markets. The data market is where we play. So we’re not in a rush. We don’t need it to build a platform. So we’ll continue to be a very choiceful buyer. Cameron?
Steve Liechti: Yeah. Morning. Steve Liechti from Numis. Can I have three? One, you sort of talked about it, but in terms of the Tech market currently, back in January, we talked about some stabilization in the market there and there was some comment about the backlog looking better. Are you okay to or happy to call growth in the current year, sort of decent growth in the current year? Anything you can give us there? Secondly, anything you can give us on forward bookings for the events in terms of, you talk about visibility, any hard numbers you can give us there, and I’m particularly interested in China, given the macros and stuff there. And then the third one is on Connect. You talked about how well that’s doing and the content that offering. The margin is relatively low against markets. Some of your competitors who are in more content-led businesses are doing well above 20%, probably well above 30%. Can you comment on the sort of margin aspiration for Connect and why it can’t get to 30% if it can’t? Thanks.
Stephen Carter: Okay. Well, why don’t I take some of those and Gareth, Rupert and Andy, if you feel the overwhelming urge to argue your corner, now’s the time, so don’t be embarrassed or backward about coming forward. I don’t know about -- I don’t think we know enough yet about the end market in Tech. I think we definitely would call, we’re past the bottom and we’re seeing that in a number of metrics, bookings, budgets, budget confirmation and just pipeline. In actually most of our service and product areas in our portfolio. I don’t know if you followed it, Steve, but TechTarget did their numbers and I think they would say it’s sort of, it’s no worse, but it’s not yet, they’re not calling better. I think I’m summarizing their market statements pretty accurately. So I’m not sure we’re calling growth in 2024 or return to the sort of growth levels in 2024 that we would want in 2025 and 2026 and 2027. So I think we stand by what I think we also said in January, when we announced that much in life is timing and we think our timing is good, because we can use 2024 to hold performance to a level that does not deteriorate, do the work around combination and then come back to the market with a new brand, a new product and service offering, combined service offering for customers and anticipate, you never know, that there’s more market return in 2025 and then 2026. So that’s, I think, where we are on that question. On forward pacing, yeah, our forward pacing numbers are strong, I mean, properly strong. I mean, if you look at our top, I’m just actually trying to find the data points. If you look at our top events, Q1, Q2, Q3, Q4, I mean, we’re significantly up on pacing on previous years. Now to the earlier question from the webcast, some of that is price, but a significant portion of that is just absolute volume and interest. So, yes, I think that’s part of what underlines our forward visibility confidence. On Connect, why can’t the margins get to 30%? That’s a damn good question. Look, it’s a different business. I mean, you know this very well. The product -- the cost of goods sold is higher in that business. You are generating much more original content. And interestingly, particularly in the more delegate-based areas, because we’re not in the kind of low volume, low margin, sorry, high volume, low margin business anymore. We’re in high delegate rates. I mean, if you’re paying $2,000, $3,000, $4,000, $5,000, $10,000 a delegate, you’ve got to have very, very high quality content. We’re using technology, I think, to take out cost, and we’re doing that well. The margins will go this year from last, from what to what, Andy? Remind me.
Andy Mullins: [Inaudible]
Stephen Carter: Yeah.
Andy Mullins: [Inaudible]
Stephen Carter: Yeah. So, in operating terms, that’s a significant margin uptick. Will that business ever get back to 30%, 30% plus? I don’t know. But we’re definitely in margin progression, and I think, if we do that, we use our technology well and we do better at customer experience. I think there’s definitely more revenue, and then you get into, can you get the operational leverage you want on the new revenue? Does that answer your questions?
Steve Liechti: China?
Stephen Carter: Just one sec, what was the China, remind me?
Steve Liechti: Just anything in terms of China given the macros?
Stephen Carter: Look, I mean, at the moment, touch wood, our China, I mean, you saw in the regional chart that we put up there, I mean, China is looking to grow for us this year, that is nearer the 5% small plus than the 5% big plus, to go back to Nick’s question. But we’re not seeing in our niche markets some of the grumbles that one is picking up at the macro. But as you know better than anybody, one of the great strengths of our business, we’re not oblivious to the macro, no one’s oblivious to the macro, I mean, we’re certainly not oblivious to it in the cost of capital, but the strength of being a specialist business is you can perform extremely well in the niche and in the micro, even if there’s a choppy macro. And we have a double benefit in what we report as China, as I said in my remarks, that for us, that includes Hong Kong, and last year, Hong Kong did not return in full. So I don’t know what the year-to-year comparison is in Hong Kong, but that will be north of 5% for sure.
Gareth Wright: In 2024.
Stephen Carter: In 2024, so that’s kind of our China, but that may not be China, if you see what I mean. Andy, you want?
Gareth Wright: I will add just on that the China business doesn’t really trade new area and it picks up from Q2, so we haven’t traded in the year-to-date, but the forward bookings and confirmations that we have are consistent with the sort of growth rates that we’re talking about overall. On Informa Connect, in the kind of growth algorithm that I think Nick referred to in his question that we put out about a year ago, I mean, that said clearly that we thought Informa Connect is a 20% plus OP margin business in that algorithm. We would, I think, stick to that. I know it’s more like 2017 high-teens in the 2023 results, but we still think there’s more to come there in terms of both scaling the business and efficiencies. So 20% plus is definitely still our ambition for that business.
Stephen Carter: Andy, are you all right?
Andy Mullins: I was just going to say that where we’re growing strongest are in the higher margin areas, so the mixed effects over time will benefit Connect over time as well.
Stephen Carter: Yeah. That’s a good point. Right, some rapid fire questions. We’ve got two here, Cameron. One in the back, one there. George, are you trying to come in?
George Webb: Yeah.
Stephen Carter: You can be the last question in the room.
Rahul Chopra: Yeah. Hello. Rahul from HFBC. I have two questions. Sorry. Hello? Yes. I have two questions. In terms of your upgrade to guidance this morning, £25 million upgrade to guidance at the midpoint, obviously, you had Q1, £500 million of revenue, and then you have £1.1 billion of revenue visibility. So my question here is that the upgrade to guidance, how much of that reflects the current trading environment in Q1? Given that you have 45% revenue visibility, and basically -- and from the rest of what 55%, is there anything you’re probably penciling in? That’s my, just want to understand, if there are any potential upgrades for the rest 55%, which is not in your pipeline at this stage. Second, in terms of your path to pure play events and digital business, where do you want to see Academic Markets? Is it that once it goes to 4% to 4% plus organic growth, is that you’re thinking in terms of, Informa as a pure play events business at that stage? Just want to understand your thoughts on Academic Markets given lack of synergies?
Stephen Carter: Okay. Well, let me take both of those and then Gareth can come in again on the first one, or indeed the second if he wants. But I hope I was clear. The answer to your second question is no. I mean, and I would also say your comment is inaccurate, if you don’t mind me saying so. There are significant operational synergies, but that doesn’t mean that they’re not in completely different businesses. They’re just -- they’re both specialist content businesses. One is servicing academics and institutions and one is servicing businesses. They’re different products, different services, but the underlying truth of what they both do, the underlying operational reality is pretty similar. And they culturally and practically sit very well in the same company and you see that in the performance. If we can get that business to a 4% plus growth business with consistent margins, that’s an outstanding, that’s a market leading performance in that market. And in colloquial terms, there’s not a lot not to like about that. On your first question, I mean, I personally hesitate to use the word upgrade. I mean, we’re restating our guidance for a number of reasons. One, because we finished 2023 more strongly than we thought. So therefore we come in at a higher start point, if you see what I mean and the first quarter has started strongly. Sure, we’ve got revenue visibility and that gives us confidence and we can see that both in booked revenue, paid revenue and indeed in pacing revenue. But I think let’s get to the half year and see where we are and how the year’s trading. But for now, we’ve restated the guidance that we put out in January against the backdrop of the close at the end of 2023 and the opening to 2024, and that seems proportionate at this stage, if that answers your question. Anything you want to add?
Gareth Wright: I think I’d say the source of the increase of the guidance is our confidence in the business. That’s really what the source is. And how you haven’t piece parted about in terms of what we’ve actually delivered or what we’re going to deliver, you can cut and dice that. But ultimately it’s about our confidence in the business going into 2024.
Stephen Carter: Yeah.
Tom Singlehurst: Yeah. Thank you. It’s Tom here from Citi. The first one actually is on that guidance. I appreciate it’s a restatement, not technically an upgrade. But obviously through last year, you did upgrade it, and if we piece together the numbers relative to your original guidance, I think, you did revenue £350 million odd better than the midpoint and profit about £140 million. So about a 40% drop through. I don’t know, that kind of number. I suppose, is that the way we should think about incremental revenue relative to the guide you’re issuing today, i.e., will we see 40%, 50% drop through on positive revenue surprise or is there a reason why that would be different going forward? That was the first question. Second question was on Taylor & Francis, which, I mean, I suppose it’s small numbers, but it technically did see a bit of a slowdown in the second half with 3% on the nose and you’re expecting that appreciation in growth into 2024. Was that just something to do with book sales or something quite temporary or what were the factors behind that slowdown and why should we be that confident that it will reaccelerate? And then very finally, you had an absolute mega June last year with China events kicking in quite hard and I think that was unusual in terms of timing. Can you just confirm that? Does -- I mean, obviously that might have a growth rate implication in the first half, but is the phasing of what we expect to come from China skewed to the second half?
Stephen Carter: Okay. Gareth, do you want to have a go at some of these then I’ll come in at the end?
Gareth Wright: Okay. In terms of the OP drop through, yeah, I mean, you’re right. I think the recent upgrades have been at about a kind of 40% level for the drop through. I think that’s a good assumption to make for going forward. I don’t think it’s a cap or a limit on the number. I think it could be higher than that. But I think if you’re kind of modeling it out, that’s probably a good place to start in terms of the drop through. In terms of Taylor & Francis, we just saw a bit of phasing and some slightly weaker revenues at the end of the year. We’re not particularly concerned about that at a high level as we talked about in this presentation. We’re still confident about the outlook for that business into 2024 and the ability to accelerate the growth using the steps that Stephen outlined in his part of the presentation. So a bit of phasing and a bit of timing around year end, but no change to the 2024 or indeed the medium term ambition for that business. And in terms of the comparative issue, we did a very strong June last year between the AGM and the half year results. A bit of that, there was phasing of events and particularly the China reopening. So in our underlying calculations this year, we’ll be moving whenever the event was in 2023, we’ll match it to the month that it is in 2024 to basically get the underlying onto a proper basis. So that shouldn’t be a phasing factor in our underlying revenue growth numbers. What you will see in the business, and you’ve seen this over a number of years, is generally we’re a bit more profitable in the second half of the year. So the margin performance is often not quite so strong relative to the prior year in the first half of the year and the growth comes in the second half of the year. I’d expect you’ll see that again in 2024. Just on T&F, my memory is the first half, we were about 3.3%, is that right? So it’s a 0.3% difference. I mean, 0.3%, what’s that, million and change. In the back quarter of the year, which is the big quarter, I mean, there was an archive sale we didn’t land, not because we’re not going to land it, but it just didn’t land. There’s a bit of phasing. There was some book volumes that changed on direct rather than through wholesalers. But no, there’s nothing structural there, Tom. Okay, George, make it a good one.
George Webb: Hi. It’s George Webb from Morgan Stanley. Thanks for the presentation, Stephen and Gareth. I mean, the last question I had was just maybe an update on Tahaluf and the progress you’re making there this year, maybe the amount of launches and what the potential upside there could be if the Saudi Government did want to accelerate things? Thank you.
Stephen Carter: Well, actually, that’s a bit relevant to Tom’s questions as well on the drop through, because as Gareth alluded to in an answer to an earlier question, we’re taking -- we are trying to take a market position there and so not that we’re actively trading revenue for profit, but we are definitely focused on market position. This year, I think we have in the potential schedule, I’m going to say 12, I think I’m right, could be 10, but 10 to 12 brands in profiles. And in the way in which these markets develop, and you will understand this well, themes and profiles get allocated. So you want to get the allocation and the theme and then you can develop from there. So we’re in market development stage. We are both creating new brands, of which LEAP is a standout example. I mean, I’ve now been in this business for quite a while. I’ve never seen anything like it anywhere in the world by anybody, including us. But equally, we’re bringing in, we’re geo-cloning or transferring brands. And last year, we did that very successfully with our Cityscape franchise, we took that to the Saudi market and I think that’s given us a clear position in commercial real estate. The other profiles were launched that we’re looking at, pharmaceuticals, bioscience, food, agritech, fintech, and to go back to the portfolio, we have a very attractive portfolio of brands. And sorry, and the third one that’s already there is cybersecurity, Black Hat, is I think with this year being its third year. So in its fullest expression, we could end up with 12 this year, it’s possible. There’s a new venue. LEAP was in the new venue for the first time, the Malham venue, which if you know Riyadh at all, is outside of Riyadh, it’s not in the center, they’ve got one venue in Riyadh and the Malham venue is outside Riyadh, it’s much, much bigger. But there’s expansion coming to that, there’s a new airport coming, there’s a new airline coming. So there’s a lot of infrastructure going in there. Just to be clear, our partners in Tahaluf are not the Saudi Government, but are two Saudi entities. We are the majority owner, we own 51% of it. We run it as a separate entity. I, in fact, am the Chairman of Tahaluf and it’s a very effective collaborative partnership. The management and operating team are ours. We’ve put, I think to date, 65 people on the ground in Riyadh by the end of the year, we think we’ll have 200. That’s the scale of it. It’s quite something. Thank you very much for your questions and for your interest in the company. Nothing further on the webcast. It’s time. You’re welcome to stay, but nice to see everybody.